Operator: Good morning, ladies and gentlemen, and welcome to PTC's Fourth Quarter Fiscal Year 2013 Results Conference Call. [Operator Instructions] As a reminder, ladies and gentlemen, this conference is being recorded. I would now like introduce James Hillier, PTC's Vice President of Investor Relations. Please go ahead, sir.
James Hillier: Thanks, Oland. Good morning, everyone, and thank you for joining us in today's Q4 results and outlook call. As a reminder, today's call and Q&A session may include forward-looking statements regarding PTC's products, our anticipated future operations or financial performance. Any such statements will be based on the current assumption of PTC's management, and are subject to risks and uncertainties that could cause actual events and results to differ materially. Information concerning these risks and uncertainties is contained in PTC's most recent Form 8-K, Form 10-K and Form 10-Q on file with the SEC. Unless otherwise indicated, all financial measures in today's call are non-GAAP financial measures. A reconciliation between the non-GAAP measures and the comparable GAAP measures is located in the Q4 '13 press release and prepared remarks documents on the Investor Relations page of our website at www.ptc.com. With us on the call this morning is Jim Heppelmann, our President and CEO; Jeff Glidden, our CFO; and Barry Cohen our EVP of Strategy. With that, I'll turn the call over to Jim.
James E. Heppelmann: Thank you, James Hillier. It's good to have you joining us here on your first earnings call with PTC, so welcome aboard. Good morning to all the rest of you who are joining us, and welcome to our fourth quarter in fiscal year 2013 earnings call. I'd like to thank you once again for sharing your valuable time with us here this morning. So I'm pleased to report that PTC delivered a solid fourth quarter, which in turn capped off a solid fiscal year 2013. Having achieved 5% constant currency revenue growth and 24% constant currency non-GAAP earnings growth in spite of a challenging economic environment, we think PTC can put fiscal 2013 firmly into the win column. When we spoke 90 days ago, we indicated that we were entering our fourth quarter with a strong pipeline of opportunities, but we had a concern that the difficult macro headwinds might decrease the close rate of deals in that pipe. As the quarter progressed, we sensed a modest improvement in the economic environment as the forecast ticked up on several occasions. The quarter ended strong, and we were able to surpass the high end of our revenue guidance on license and total revenue. Given the leverage we've created in our business model, that extra revenue allowed us to deliver substantially more earnings than our guidance had suggested. So with those strong fourth quarter results, the FY '13 year ended well, particularly when measured in terms of earnings performance. On the subject of earnings performance, I'll remind you that back in 2009, we first talked about our plan to deliver a 20% non-GAAP earnings CAGR for 5 consecutive years. The PTC team is proud that over the first 4 years of that commitment, we've actually delivered a 22% non-GAAP earnings CAGR, taking our non-GAAP operating profit from around $30 million a quarter in 2009 to around $70 million a quarter, on average, in 2013. The restructuring that we've done to our business along the way has now put us in a position to put forth a very interesting extended plan that will take us out through 2017. There were some notable highlights in the quarter. First, the strength was fairly broad based, and we delivered strong revenue without the benefit of any megadeals. Our European business showed good signs of recovery that mirrored the improved economic data that we see coming from that region. Our China and Japan results were very solid. And while our North American results look weaker, in part that's because we're comparing to what was really a blockbuster Q4 in that region last quarter -- or last year. We were pleased to see momentum in our CAD business, and though our extended PLM results as reported are unimpressive, they look a little better when you factor in the absence of megadeals that tend to power that business in its strongest comparable periods. Generally speaking, SLM did well, and while Servigistics had another good quarter, the incremental revenue strength in the quarter really came from stronger organic performance across our business segments. Looking ahead to FY '14, our guidance reflects the balance of pipeline strength on one hand, coupled with a real concern that the macro situation will muddle along or even get worse on the other hand. On the pipeline side, the rule of thumb in enterprise software is that for every dollar of revenue in your plan, you need $3 of opportunity in your pipeline. And going into FY '14, our situation is materially better than that. On the other hand, the economic data shows mixed trends, with Europe improving, but the U.S. perhaps weakening. And while the last quarter felt strong to PTC, we certainly took note that most of our industry peers and many other notable software and IT companies posted relatively weak results. So we want to avoid getting ahead of ourselves, and we provided guidance that we feel balances the various circumstances as best we can. Looking beyond FY '14, we also unveiled today an extension of our long-range plan that would take us out through fiscal year 2017. This plan will allow the company to continue to deliver superior earnings growth for 4 more years. The first key part of the long-range plan is continued expansion of the company's non-GAAP operating margin to the 28% to 30% range that begins to approach a peer average value. While the 2017 operating margin is 600 to 800 basis points higher than FY '13, keep in mind that we expect to get the first 300 basis points in FY '14, thanks to actions we've already taken in FY '13. The second key element of the long-range plan is growth. The 8% to 11% growth rate we contemplated in the plan is more than the 5% constant currency growth rate we saw in the difficult environment of FY '13, but it's in line with what we saw in the prior 3 years, during which the economy was okay, but certainly not great. During that time period, our average growth rate was better than 9%, with a few points of acquired revenue included in each year, which is more or less what we'd expect going forward. We think the 8% to 11% growth rate in our long-range plan is achievable in an improving macroenvironment with our current strategy. At the same time, here at PTC we continue to think about ways that we could increase the fundamental growth opportunity that's available to PTC, and that conversation keeps leading us back to SLM. To help you better understand where we're headed, let me take you back a few years to 2009. After 2 decades of focusing specifically on product creation software, we expanded our strategy to help customers transform the way they create and service products, so that they could have both a product and a service advantage. There were some skeptics, but we felt that this new category called SLM, was a natural adjacency and our deep knowledge of products would be very useful to optimizing service operations, just as it is for optimizing manufacturing. I think that the performance of our SLM business in the quarter and the year demonstrates that we have successfully bridged our way for the engineering world of creating products to the service department in charge of servicing them. Our SLM segment was our best performer in fiscal year 2013, and we've now completed the first year of our Servigistics acquisition, with really outstanding results. The organic part of the business is also strong, and has driven key new account wins, like the deal with Renault that we discussed last quarter. There's a couple of key reasons why we think that SLM will be an even bigger growth driver for PTC going forward. First, many manufacturing product companies are joining the trend toward servicization. That's a fancy way of saying that these companies are restructuring the relationship they have with their customers by bundling more and more service content with their product offerings. In the automotive industry, for example, OEMs now get between 1/4 and 1/3 of their revenue, and between 1/3 and 1/2 of their profit from the aftermarket services that they offer. This is a consistent theme across nearly every industry vertical we serve, and it seems that nearly everybody that PTC knows in the product business now has a service strategy to drive more revenue and profits. It's relatively easy to find companies that want to engage us in an SLM discussion, even in a difficult economic period. Second, the market for information technology to drive business process optimization in the service department is highly fragmented. Because ERP software provides a poor fit, most customers have had to patch together custom solutions and point solutions, so most of the time we find ourselves replacing tired homegrown environments. With the success we've demonstrated, PTC has a legitimate claim to an SLM leadership position measured in terms of technology footprint, customers and revenue. Not only can we successfully cross the bridge from product development in our accounts, but with this strong SLM story, we've seen time and again a new entry point into accounts, irrespective of whose technology they use upstream in product development. And offering a full solution suite in a fragmented industry not only gives us great differentiation, but it also keeps our corporate development team busy analyzing the many opportunities that exist to further expand our offering. Third, the products that we've been helping our customer create are becoming increasingly smart and connected, and in growing numbers they are coming online joining the Internet of Things, or what GE calls the Industrial Internet. This allows the manufacturer to carry on an interactive dialogue with a product, long after the product has been delivered to the customer. This approach completely transforms the way that products are serviced, and it has a profound effect on how they're created as well. Many analysts believe that the Internet of Things will prove to be an even bigger phenomenon than cloud computing. And nearly everybody agrees that the killer app will be one that monitors products and creates a highly efficient and proactive service experience. In other words, magic happens at the intersection of SLM and the Internet of Things. This is very exciting to PTC because as the SLM leader, we at PTC are in a strong position to do something really big, just as we did when the Internet and web itself became relevant with PLM, back in the late '90s. With the momentum we have to date, coupled with these larger strategic factors, we see our SLM segment living up to its promise in creating a significant incremental growth opportunity for PTC in the years to come. We're confident that this new long-range plan is achievable, and it's a plan that our shareholders will find attractive. But as with any plan that's attractive on the surface, we know you'll want to dig deeper into the underlying strategies and the planning assumptions that the plan is based on. So I'd like top put in a plug for all of you to join us at our December 5 Investor Relations Day. This event, at our headquarters near Boston, will provide a great opportunity to engage not only Jeff and I, but the broader PTC management team in discussions about the merit of our strategies and initiatives and the resulting financial plans and outlooks. On a final note, you'll probably notice we plan to change our stock ticker from PMTC to PTC on December 3. This is the final step in the rebranding away from Parametric Technology to PTC. As you know, the word parametric is a direct reference to CAD, and as our business diversified beyond CAD, we started thinking of ourselves as PTC more than a decade ago. However, we've consistently found situations where we were talking right past people who didn't realize that our PTC and their Parametric were in fact the same company. So last year, we changed the company's official legal name to PTC, which cleaned up most print and online references, and on December 3, the ticker change should remove the last vestige of confusion, and that will allow all of our energy and momentum to be focused into a single place called PTC. With that, I'll turn it over to Jeff for a few quick comments on the financials.
Jeffrey D. Glidden: Thanks, Jim. Clearly, we are pleased with our FY '13 earnings performance. We expanded our non-GAAP operating profit margins by approximately 250 basis points to 22.1%. This was achieved by delivering higher gross margins, coupled with tight expense management throughout the year. And I would add that our expense planning in fiscal '13 also positions us very well to deliver increased profitability in fiscal '14. A highlight of our 2013 performance has been cash and cash flow. We ended the year with cash of $242 million, and cash flow from operations increased to $225 million. Strong cash flow has enabled us to increase our stock repurchases to $75 million, while we paid down debt and completed strategic acquisitions. During the past fiscal year, we closed 3 important acquisitions: Servigistics in the first quarter, along with Enigma and NetIDEAS in the fourth quarter. Servigistics and Enigma are focused on expanding our service life cycle management solutions and accelerating the growth of this business. NetIDEAS expands our global services business by adding high-value managed service offerings. We expect these new managed services to provide additional recurring revenue streams and to be accretive to our global services margins. As discussed on previous conference calls, a key objective has been to increase the profitability of our global services business. During 2013, we increased services margins to 14%. As we build out our managed service operations over the next several years, we expect to increase global services margins to 20% by fiscal '17. A cornerstone of a financial plan is to significantly expand profitability while growing our business. For fiscal '14, we expect non-GAAP operating margins to increase to approximately 25%, and we have increased our long-term operating margin targets to 28% to 30% by 2017. We plan to achieve these longer-term goals by driving gross margins to 74% to 76%, increasing the productivity of our sales teams, coupled with disciplined expense management in all areas of the business. We are pleased with the results that we've delivered over the past 4 years, and are confident in our ability to achieve our longer-term goals. Now looking ahead to our outlook for Q1 and fiscal '14. The macroenvironment continues to be very choppy, not only in the U.S., but in international markets as well. We have seen this reflected in recent earnings results of a number of bellwether companies. Given this background, we expect Q1 non-GAAP revenue to be in the range of $310 million to $320 million, including license revenue of $70 million to $80 million, and we expect to deliver non-GAAP EPS of $0.41 to $0.46 per share. I would note that given our current estimates for mix of profits by geography, we expect our non-GAAP tax rate will increase to approximately 25% for the fiscal year 2014. For the full year, we expect non-GAAP revenues to be in the range of $1,325,000,000 to $1,340,000,000, and our non-GAAP EPS to be $2 to $2.10 per share. Again, we appreciate you joining us today. And I will now turn the call back over to James Hillier.
James Hillier: Thanks, Jeff. Öland, can you please open up the call to Q&A.
Operator: [Operator Instructions] We have the first question, which comes from the line of Jay Vleeschhouwer from Griffin Securities.
Jay Vleeschhouwer - Griffin Securities, Inc., Research Division: A couple of questions about your assumption for fiscal '14 guidance, and then a couple of long-range questions, since you brought up that subject of looking out several years. For fiscal '14, could you talk about your assumptions in terms of the relative performance of your direct versus indirect sales contributions? You've recently brought in some new management on the indirect side. You're talking about adding a bit in terms of direct sales capacity. So how are you thinking about those 2 sources of revenue? And then as well, you're looking for what seems likely to be a license decline in Q1, but growth for the year. The midpoint of your guidance would suggest that for quarters 2 through 4, you would need to have at least a 6% to 7% license revenue growth to make the guidance for the year as a whole, including a little bit from acquisitions. So what would drive that implied acceleration of growth in the subsequent 9 months of the year?
James E. Heppelmann: Yes, okay. Those are great questions, Jay. And maybe, Jeff, on the first one I can kind of hit a qualitative, and you can maybe reinforce that if necessary with quantitative data. So let's take these 2 questions separately. So the first one, which is really how do we think about direct versus indirect. I think if I look back over the last couple years, the performance has been sort of -- they've sort of mirrored each other. The channel was 27% of our revenue 3 years ago, and I think it's still right around 27% of revenue now. So I think at some level, we don't expect a big disconnect between what happens with direct and channel. Now that said, there are some forces, like the fact that SLM is sold more by the direct guys than by the channel, really sold almost exclusively by the direct guys, that growth opportunity is afforded more to the direct guys than to the channel. So, it could change. Okay. But as you noted, we did bring in some new management for our channel and that really was less about dissatisfaction with the current management. We actually thought that was pretty decent, but we found an unbelievable candidate, this Kerry that we hired -- Kerry, for most of you. And he's really got some incredible talent at IBM and then at Siemens, and an incredible track record of creating channel success at higher levels than we've been experiencing so forth. So he wanted to come work for PTC and when we met him, we said, wow, we want you to come work for us. So I think that was just a big talent upgrade that we seized opportunistically. So -- I don't know, do you want to add anything quantitative, Jeff?
Jeffrey D. Glidden: Let me add on the seasonality here a bit on the discussion. In Q1 last year, we had a very large megadeal that was the Embraer Air deal, so that was in the actual results for Q1 of last year. Our current guidance for Q1 of this year does not depend on a megadeal per se. As you've seen in Q4, we had a broader set of deals at a slightly lower ASP, but we think that's a good answer. So I think when you look at it, we'd say, gee, there might be some upside, we always have megadeals when we go through the year. The timing of those is always difficult to cite, but we do have, I think, many opportunities that right now we would expect we'll close sometime in the year -- during the year, more likely in the back half, Jay. So I think we feel pretty good. As Jim said, pipeline is expanding. The question is really, fundamentally, what do close rates look like, given the macro factors that might give us a headwind in maybe Q1 of the first half.
James E. Heppelmann: Yes, maybe just to be more concrete on the question about the FY versus the Q1. I think we have a bit of a quarterization disconnect with you guys, which is okay, because I think generally, our plan looks pretty good for the year, but you might say weak for the first quarter. And that really is just that we see it falling slightly different over the quarters. And that's really this big deal factor. We have a number of big deals in the quarter -- I'm sorry, in the fiscal year. I'd say we have relatively safe close assumptions, but we're assuming none of them close in Q1. And if you take our Q1 and compare it to last year x the megadeal, it's actually decent direct organic growth. So it's really that big deal factor that can skew how an individual quarter looks like if you're comparing a quarter without a megadeal to a quarter with a megadeal.
Jay Vleeschhouwer - Griffin Securities, Inc., Research Division: Okay. And I'd like to ask if you could talk about the connection between your long-term growth assumptions that you mentioned earlier, to how you see your product portfolio or even underlying architecture having to evolve over the next number of years? You've gotten an increasingly complex portfolio with -- particularly lately, with additional acquisitions. You spoke at your conference in Anaheim several months ago about a long-term roadmap of building a more common architecture, I think you called it the PTC Enterprise Fabric. So if you could talk about how you put all of that together and drive the growth as you're going through what may turn out to be a pretty significant technology change for you over the next number of years. And with the NetIDEAS acquisition, really pretty small, but could you talk about leveraging that into a broader hosting opportunity for Windchill itself, and perhaps even beyond Windchill?
James E. Heppelmann: Okay. Then we're going to have to cut you off because that's like at least 4 questions, but [indiscernible]. So no problem. Let me hit the NetIDEAS thing first, because I can maybe weave that into the other question. So NetIDEAS is a group of what were early Windchill customers that -- Windchill was the first PLM system, and I'd argue, one of the first enterprise applications, period, to be available in a pure native web of architecture back in 1998. And there was this group of customers actually, at a large defense company, who purchased this technology and then said, wow, this is really an interesting breakthrough as compared to the client/server technology of the day. And they got so excited they decided, we're going to start a company to host Windchill. So NetIDEAS has existed since right around 2000, give or take a year, and their whole business has been hosting Windchill. Now we at PTC didn't exactly know how to deal with them sometimes, but nonetheless their whole business was predicated on hosting our technology. And they had built a portfolio of about 80 customers, including some big ones like the U.S. Navy, where they were hosting systems for the customer. So we'd sell the software to the customer, but we'd ship it to NetIDEAS, and NetIDEAS would host it. So first of all, they're an excellent company and hugely knowledgeable in how to host PLM systems, both large and small. Okay, so now to the question of how does our technology portfolio evolve over time. We did talk about -- there's really kind of 2 thrusts: one, is how to take some technologies we've acquired and better integrate them together; and then the second question, is how fast can we move some or all of that into the cloud. And I think there's not a simple answer to that. It's probably a better question to dwell on, on December 5. But I think what we're talking about here is an evolution. Nobody today is kicking down our doors and saying, I need a product that's fundamentally different than what you're trying to sell me. I think we're trying to stay ahead of our customers, and make sure that by the day that -- by the time that day comes, we're already for it. So we are both driving initiatives to think about how to bring some of this technology first, into a managed service environment with NetIDEAS; second, maybe into a peer cloud SaaS environment over time. And then I think that, that integration and enterprise fabric story, some amount of it will be done on premise, and then over time, I think that the cloud SaaS model gives us a slightly different approach to sort of finish that project. And I'm not sure it'll ever be finished because we'll keep making acquisitions, and we'll have to keep updating our technology strategies to accommodate some hot new piece of technology we just acquired. Could I offer one last comment, just to point out on NetIDEAS.That is a nice acquisition. It has essentially little license revenue, because it's really a service business we acquired there. So just -- when you're thinking about your models for PTC, there's little license revenue in that and quite frankly, not much in Enigma either, so just FYI on that.
Operator: The next question comes from Matt Hedberg from RBC Capital Markets.
Matthew Hedberg - RBC Capital Markets, LLC, Research Division: I'm looking at your margin assumptions for next year, and certainly I love the fact that you guys are able to accelerate your 25% target by a year. And you guys have obviously shown tremendous success beating margin targets despite a very difficult macro. I was just looking at next year's target, 300 basis points. One lever is obviously the service business. But beyond that, just -- could you help us, remind us, what are the other things you guys can do internally, even if revenue falls a bit short of your expectations?
James E. Heppelmann: Again, Jeff, maybe we can take them --
Jeffrey D. Glidden: Sure. Yes.
James E. Heppelmann: The first thing I would tell you is that, in fact, we've already taken the actions in that last restructuring charge we did back in FY '13, to create a cost structure that'll deliver 25% margins in FY '14. So that's not like a hope and a dream, it's sort of like a serious plan. And it really is predicated on cost controls, it's predicated on higher service margins, and it's predicated on modest improvements in sales productivity. And then there's initiatives behind all that stuff to try to ensure that it all happens like that. But that's the fundamental kind of premise from a high level.
Jeffrey D. Glidden: Yes. I'd just add, Matt, that on the gross margin side, this past year we did just over 73% gross margins. We'd expect that to be 73% to 74%. I think there's an opportunity clearly to continue to expand margins, both based on mix as we continue to build out the partner ecosystem. That's gone very well on the services, global services side. And in addition, we'll continue to drive increased margin there. So we think we're well setup to get into the, I'll call it, 73% towards the upper end of the 74% -- to 74% range. And again as Jim said, I think we've really positioned ourselves on an expense base, entering the year with the right cost structure that would get us from -- if you looked at our total OpEx last year it was 51%. We'd be closer to 50%, 49% to 50% in the year, and that gets us to the 25%. So I think we feel pretty well positioned, as Jim said.
Matthew Hedberg - RBC Capital Markets, LLC, Research Division: That's great. And just a quick follow-up here. In your prepared remarks, one of the bullets, kind of in the prepared remarks, was talking about implementing solutions that require shorter sales cycles, less services. Can you just kind of expand upon that? And then maybe put that in a little broader context. And maybe this relates somewhat to the earlier question that Jay had on sort of the changing technology going forward.
James E. Heppelmann: Yes. I think that's a very interesting question, because key to both higher services margins and to higher sales productivity is to change a little bit the way we approach the problem. And I think PTC has been on an evolution here from the early days, let's say, of our Windchill PLM offering when we kind of sold the toolkit and a lot of services, to really now where we're trying to sell value in a box. And we're saying, everything you need is in that box, and the service engagement should really be around just changing your processes to use that technology, not bringing in developers to customize or, God forbid, just develop it further. And then the managed services element is interesting, because we're also saying, we could even just take the deployment off your hands. So if you're really do just want to run the software in your processes, in your improved processes, that's fine, we can do that for you. And this a serious effort. We've been working on it for a while. We've brought in some outside consultants to help us weed our way through to it, make sure we didn't miss anything, and then we just launched it really to our sales force in October here, at the beginning of the -- well, really at the sales kickoff. So I think we're optimistic that we're going to make some progress there. And you won't see that progress as solutions per se, you'll see it in higher services margins and modestly better sales productivity numbers.
Operator: The next question comes from Yun Kim, Janney Capital Markets.
Yun S. Kim - Janney Montgomery Scott LLC, Research Division: Following up on that last question. Are we talking about, Jim, the fact that you guys are talking about developing or overhauling your products that can be implemented more on a modular or smaller chunks, or are we simply talking about better and more efficient implementation methodology?
James E. Heppelmann: There's been a significant development effort, I might characterize it as remodeling, to take the technology we already have and better tune it, so that it's more out of the box, more ready to go. We've thought through the use cases more simply and so forth. I mean, PTC uses salesforce.com, and that's an example of a product that's in a box, and you kind of like it or you don't, because you can't really change it much. That puts a lot of pressure on the developers to be thoughtful about what we put in the box, realizing that we're actually asking the sales and the services team not to change the product so much, maybe not to change it all. So that's the kind of thesis there is that we come out with a more thoughtful product in the box.
Yun S. Kim - Janney Montgomery Scott LLC, Research Division: Got it. And then, Jim, can you just update us on the progress you're making in terms of verticalization of your products. For instance, obviously you talked about it today, but the automotive is supposed to be one of your biggest market opportunity down the road. Where are we in terms of penetrating that vertical? And should we expect more verticalization of your products beyond what you have today? How does your verticalization fit into your overall product strategy going forward?
James E. Heppelmann: Yes. Well let me just say on the automotive question, we just had 3 major automotive companies here at our PTC headquarters in the last 5 or 6 days, in separate trips. So there's a lot happening on our automotive front. I think that SLM is another potential sweet spot. Renault was our first big win. And as I mentioned last time, that's a customer who really turns to Dassault for CAD and PLM, but still is impressed by our ability to take even the Dassault's CAD and redeploy it into a more efficient service operation. So I think in general, we do have different strategies for different verticals. We're not trying to be completely different. In fact, there's great mileage to be achieved by being able to take the same technology to multiple verticals. But let me go back to sales force there. They've got everything from banks and insurance companies to manufacturing companies and whatnot using the same exact system. And there's great economies of scale and so forth in that type of model. So that said, building an automobile, building an airplane, building a consumer product and stuff, they're a little different challenge. A retail product is very different, so we do have verticalization strategies. I think we want to go as deep in each of these verticals as we need to. In the retail space, the big challenge is around massive portfolios of very simple products undergoing huge rates of change. In automotive, the real thing people want to talk to us about is platform strategies. Like a Volkswagen would say to us, hey, we're trying to build products for so many different markets, and in each market there are different regulations around emissions and whatnot, safety. If you're going to build a product for California, you've got to worry about California emissions, but you'd never sell that product in India, and so on and so forth. So PTC, how can you help us design products that are far more modular, so we can offer customers incredible variation, but yet it mostly comes back to the same standard parts that we have back in the factory. And that's really the automotive discussion we're having right now. And if you're in the automotive, whether it's commercial or consumer automotive right now, if you don't have a platform strategy, you're clucked, because you just cannot then create the variation the market demands at a price point that the market and your competitors are forcing you to get to.
Yun S. Kim - Janney Montgomery Scott LLC, Research Division: Okay, great. And then one last quick question. You had a very strong quarter out of the SLM business, which you obviously highlighted in your prepared remarks. I believe that average deal size in SLM business is typically much higher than the rest of your business. What are you seeing in terms of deal size trends there? Do you see customers taking a, maybe more of a piecemeal approach consistent with what you're seeing in the other parts of the business? Or do you still see people taking out large or interested in a large upfront commitment for your SLM solution?
James E. Heppelmann: Yes, I think the answer there really is, it's a mixture of all of that stuff, and the trends are hard to take meaning from. On one hand, you have the Caterpillars and the Renaults giving us huge contracts. On the other hand, we're running a lot of small pilot projects of people that are in varying trades and want to get a little bit deeper into it before they make that commitment. So you mix all this stuff together, and then you mix all the Servigistics stuff in, and you end up with averages that you really need to de-average to understand what's going on. So I can't personally read much into the averages.
James Hillier: [Operator Instructions]
Operator: The next question comes from Raimo Lenschow from Barclays.
Raimo Lenschow - Barclays Capital, Research Division: The 2 questions I had is, first of all, there's a big debate in the industry in terms of changing the business model towards more consumption or subscription. We see Autodesk moving the beats at Dassault to do something around that. Can you just kind of highlight a little bit what you're thinking around that? If it really makes sense for the industry, and how you would achieve that, if it doesn't make sense? And then the second question is just a follow-up. You mentioned salesforce as one of your core systems. How -- I mean, you have been in there now for, I believe, about 1.5 year. I mean, how much can you rely on that now? How good is your visibility into your pipeline and the progress of the pipeline?
James E. Heppelmann: Okay, so on the consumption/subscription point. I think we need to separate a little bit what are the vendors saying from what are the customers are saying, because there is a bit of a disconnect there. Let's just look at PTC for a minute. If you take our entire business, half of it is subscription and consumption based, that's our maintenance business. So let's just set half our business into the consumption category. Of the half that's left, half of that is services roughly. So we're really talking about 1/4 of our business more or less 25%, 30%, that's license. Now within that 1/4, we do offer rental agreements, and some of our customers take us up on them. The principal reason they take us up on them is because they like to think about this cost as an operating cost, rather than a capital purchase, and we do some big deals in that model. Now on the other hand, there's a lot of customers that say, it actually is more economical to purchase the stuff. I always tell my colleagues here in the company, do you want to buy a car and be responsible for maintaining it or do you want to rent one? And the answer is, well it depends. If you're going to rent it first 2 days, you're better off renting it, but if you're going to use it everyday for multiple years, you're actually much better off buying it. And our customers are pretty smart about these things, so they're running those models all the time. If that model lends them money on the subscription, and we have a model to do that, I'd say it's a pretty small percent of our business that goes down that path, which really means, in our view, there's not yet strong demand. Now I would never say never. I think that day they will come. But I think you've got to look at each category of software and say, where is it in its maturity curve? If it's extremely strategic, then the customer says, I actually want to develop it. GE thinks the Industrial Internet is extremely strategic, so they're going to spend $1 billion creating a solution suite for GE, okay? I think somewhere in the middle, people say, it's somewhat strategic, I can gain an advantage, I have my own views on how to do this, I want to purchase it, integrate it deeply into my environment, maybe even customize it a little bit, but I don't want to spend $1 billion like GE did. And then I think at the opposite end of the spectrum, people say, it's just a utility, I just want to use it. And to be frank -- and that's a bit how we see salesforce. It's a very good utility. And if I switch to that topic a little bit, I love and Jeff and the rest of the management team, loves having a visible pipeline. Until 7 or 8 quarters ago, we didn't really -- pipeline was just kind of a concept, it wasn't quantifiable. But now, when I talked earlier about what our ratios are, we know what our pipeline ratios are by segment, by geography, we know the big deals, the little deals. I mean, it's really incredible to be able to slice and dice. And I think actually it lended us to a good place last quarter, because we were able to guide understanding where the pipeline was, and what were appropriate safety factors, and then give you some guidance that -- it was okay guidance, but then actually deliver pretty good results against it. And we weren't really that surprised when the forecast remained strong, because we knew how strong the pipeline was when we started the quarter. So I don't want to be a commercial here for salesforce, but I think that's an example of a relatively mature industry. People are perfectly happy to take it as a utility, and that utility creates some value. I think we, with PLM, are kind of in that middle category, where people, by and large, want to own it. They think it's important. They're putting their most valuable intellectual property into the system. They're a little nervous about sharing that with everybody else, and it should be safe, but then again, we all read stories everyday about all these systems that got hacked and so forth. And so people are saying like, I'd rather own it right now. And maybe, then I'd rather have a financial model, that's OpEx, or a financial model that's CapEx, and we're trying to really give them all the choices. You want OpEx, you want CapEx, you want to run it in your IT center, you want us to host it for you, we can do that. The key thing is just get the value to you as soon as possible.
Operator: The next question comes from Steve Koenig from Wedbush Securities.
Steven R. Koenig - Wedbush Securities Inc., Research Division: I'm curious to know about your thinking about using cash going forward. Should -- would you prefer to do more SLM acquisitions? Would you think about upping your buybacks? Kind of what's your take on that? And just housekeeping, how much of your revenue guidance for '14 comes from the acquisitions that have been done?
Jeffrey D. Glidden: Okay, Steve, Jeff Glidden here. So we guided -- we provided some outlook on cash use. We'd expect to repurchase and spend about $75 million worth of capital on stock repurchases. We pay something north of $100 million on repayment of debt. That -- as we continue to expand margins, we continue to generate significantly greater levels of cash flow also. I think we've been very selective and focused on M&A and that would be another key piece of the puzzle, so we'll continue to look at M&A. And it's kind of use the line, buy what we think is a key strategic asset, and then pay that down. So I think you saw this year, we not only increased the stock buyback, we paid down debt, and we completed acquisitions. So I think that recipe is one that we would expect to continue, Steve.
James E. Heppelmann: And on the, what would we acquire if we were going to acquire things? SLM is definitely a rich hunting ground. I mentioned it's a fragmented industry. There are opportunities to do consolidation, and in doing that to broaden our solutions suite and so forth. You want to address the question about...
Jeffrey D. Glidden: Right. On the 2 acquisitions we did in the quarter, just to maybe close up on that particular point, NetIDEAS and Enigma in Q4 contributed about $2 million worth of revenue, about $1 million of that was license, so it was a small contribution. As we look to the full year this year, we'd expect that to be probably somewhere between $6 million and $8 million or $9 million in terms of revenues. So I think it has good strategic value. It's not a key driver in terms of the revenue for 2014, but I think a very important piece.
Operator: Next question comes from Sterling Auty from JPMorgan.
Sterling P. Auty - JP Morgan Chase & Co, Research Division: I wonder if you could give us a little bit more color around the talk about salesforce productivity and capacity? You mentioned adding 20 reps, maybe any quantitative? Can you tell us what percentage of reps actually met quota in fiscal '13? And where you need to add those 20 reps to build capacity in 2014?
Jeffrey D. Glidden: Sterling, this is Jeff. Just as a comment, we've said that the key right now -- we've got sufficient capacity to deliver our 2014 numbers, and I will say that the productivity, if you look at the productivity, and we look at it a number of ways, it actually increased in the back half of the year, and particularly in Q4, and that's always a strong quarter. But our focus is really on a set of programs that will increase the productivity of the existing reps, and we've been obviously driving that with a headwind from macro. At the same time, the reps that we'd add, we talked about 20 reps in the back half of the year, that's really I call it a placeholder, that as we look out to '15, it's not about needing capacity for '14, it's about building it for '15. And depending on what the macro factors are and the traction of certain products, we may accelerate those hires as we look out into '15. I would say it's in all geos. I think we're looking at opportunities, particularly in some of the emerging geos. We've been expanding in Brazil and Russia. We've got a good operation that we continue to expand in China. As well as our European businesses has been very solid, and we're seeing that come back, and there's some additional opportunities we think to be addressed in the Americas, particularly around the SLM space. So I think it's a broad cut. We're well positioned for '14, and we'll be looking while we're in '14 to set our ourselves up for '15.
James E. Heppelmann: I think if I could just add a quick comment. The success we're having in SLM really broadens our addressable market, or let's say our practically addressable market, significantly. If you take Renault, we drove by that company every day for a decade. And then one day, somebody pulled in the parking lot and started an SLM discussion, and we end up with a pretty big order. So that's a good example that, from a CAD and PLM standpoint, that would have been hard to displace Dassault, but we can come in there and complement them downstream. So if that's true, then the amount companies that we could call on essentially has gone up by a factor of 4, or maybe 5, if you just think about what is our market share in CAD and PLM.
Jeffrey D. Glidden: Sterling, I would add that Bob Ranaldi will be with us at the Investor Day, and we'll do a deeper dive on how we're organized, how we're structured in various areas. And I think we can address that in a more fulsome way at the Investor Day, and we'll continue to drive this.
Operator: The next question comes from Matt Williams from Evercore.
Matthew L. Williams - Evercore Partners Inc., Research Division: I just wanted to sort of dig in a little bit on the CAD business, obviously pretty strong for this quarter. Just wondering if you could provide an update on the Creo 2.0 sort of upgrade cycle, and where we stand there? And then sort of alongside that, just an update around sort of direct modeling and the modules, and that opportunity going forward?
James E. Heppelmann: Yes. So on Creo 2.0, Creo upgrade cycle, I think we're right on track for that. The last numbers I saw we're right around 40% of the base has moved. A notable customer who moved in last quarter was Caterpillar. I think Caterpillar is our fourth largest customer, and then drags with them a huge supply chain. They upgraded and the upgrade went pretty flawlessly. And the customers -- the actual end-users were pretty ecstatic and so forth. So that was a big success story. It's that kind of big success story that not only encourages other big success story, but drags with it a supply chain as well. So we're making good progress. And, Jeff, do you have the statistic? There's fairly high percentage, 62%? 62% of the seats that have gone from Wildfire to Creo have added something as they went. And the thing that would be most common for them to add would be this direct modeling, what we've sometimes called flexible engineering module. So that strategy is working well. That dates back to when we acquired CoCreate, it was a direct modeling company. That caused us to rethink a little bit this almost religious commitment we had to parametric modeling. We realized there was some real value in direct modeling, so we kind of merged that technology, or at least that concept, in, and then that was part of Creo. The other part of Creo, of course, was a major overhaul in the user interface and usability. But I think that program is going well. And if we have the year we could have, it could be a big contribution from Creo in the success of PTC in FY '14, and '15 as well.
Operator: The next question comes from Ross MacMillan from Jefferies.
Ross MacMillan - Jefferies LLC, Research Division: A couple of quick questions. So, Jim, you mentioned a couple of times in this call about the pipeline and the rule of thumb, 3x coverage. I was just curious, as we go with fiscal '14, as you look at that coverage ratio, is it significantly different today when you think of that coverage ratio relative to your revenue plan going into '14 relative to the coverage ratio relative to plan going into fiscal '13? I was just trying to calibrate whether you feel there's even more cushion, if you will, in your revenue guidance given the coverage ratio?
James E. Heppelmann: Yes, so I can actually confirm that our pipeline coverage ratio is actually much stronger now than it was a year ago when we were talking about FY '13. Now, we're also more informed, because the longer you run the system and all the kind of analytical processes around it, the smarter you get. So I think we feel like the pipeline we have in FY '14 more than adequately supports the guidance we're giving you, but what we're trying to do is apply some caution around the continued economic uncertainty. If we -- if the economy got better, we could do better against that pipeline. But we're not willing to put our names up for that yet at this point. We want to be a little bit conservative and make sure that we understand how the economy is going to shape and so forth. One last factor that my colleagues are pointing out to me here too, is that -- I said this already, but the longer you use it, the better you get at it, and the better adoption, and so forth. So it's clear that the pipeline data is much stronger than it was a year ago. There are multiple factors in that, some of which are hard to unravel, and so forth. But we feel pretty good about it.
Ross MacMillan - Jefferies LLC, Research Division: And then just maybe one follow-up for Jeff. Are we -- in the absence of acquisitions, are we done with incremental restructuring? Is that completed now, and we should think about for the most part the existing cost structure as being status quo?
Jeffrey D. Glidden: Yes, I would say 2 things. We obviously, at the beginning of the year, we did a lot last year, a larger restructuring related to the consolidation of our Servigistics and SLM business, and then we did a -- later in the year, we really took and realigned again to make sure we're well positioned for '14. We'll continue to do -- look for opportunities to improve performance. We're not, at this current time, contemplating any significant realignments x an acquisition. And again, when you find an acquisition, you've got to really look at what they have, what we have, and how do we make sure that integration goes successfully, and that we get the value that we really set out to do on that. But I think I'd just reiterate, on '14, as we sit today, the actions we've taken should position us well for increasing profits in this current year.
James E. Heppelmann: Which means, Ross, the premise of your question is correct.
James Hillier: Thanks, Ross. And thanks, everyone, for your questions. I'd like to turn the call back over to Jim for some closing remarks.
James E. Heppelmann: Yes. Okay, thanks, James. So once again, thanks for making the time here. I know you guys are busy as can be on a day like this. So a lot of great questions. I continue to be impressed by sort of how thoughtful you guys think about our business, and actually how much you know about it. So -- anyway, I appreciate your support of the company, and your time with us here this morning and so forth. And I look forward to seeing many or all of you at this December 5 Investor Relations Day, and we'll just pick this conversation up and go a lot deeper with it at that point, okay? So have a good day and thanks for joining us.
Operator: Thank you for participating in today's conference call. You may now disconnect. Thank you.